Operator: Good morning. My name is Gary, and I will be your conference operator today. At this time, I would like to welcome everyone to Energizer's Third Quarter Fiscal Year 2020 Conference Call. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] As a reminder, this call is being recorded. I would now like to turn the conference over to Jackie Burwitz, Vice President, Investor Relations. You may begin your conference.
Jackie Burwitz: Good morning and thank you for joining us. During the call, we will discuss our results for the third quarter of fiscal year 2020. This call will be available for replay via the Investor Relations section of our website, energizerholdings.com. Also available on our website is a slide presentation providing details about results for the quarter. On the call with me this morning are Alan Hoskins, Chief Executive Officer; Mark LaVigne, President and Chief Operating Officer, and Tim Gorman, Chief Financial Officer. During the call, we will make forward-looking statements about the company's future business and financial performance. These are based on management's current expectations and are subject to risk and uncertainties, which may cause actual results to differ materially from our forward-looking statements. We do not undertake to update these forward-looking statements. Factors that could cause actual results to differ materially from these statements are included in today's presentation slides and in the reports we filed with the SEC. We also refer to non-GAAP financial measures. A reconciliation of non-GAAP financial measures to comparable GAAP measures is shown in the press release issued earlier today, which is available on our website. Information concerning our category and market share discussed on this call relates to the markets where we compete and is based on Energizer's internal data, data from industry analysis and estimates we believe to be reasonable. Unless otherwise stated, all comparisons are to the same period in the prior year. With that, I'd like to turn the call over to Alan.
Alan Hoskins: Thanks, Jackie, and good morning, everyone. Let me begin by thanking our colleagues around the world who have demonstrated unwavering commitment under the most trying circumstances any of us have ever faced. Although pandemic remains a global threat, the team's focus and agility contributed to the health and safety of our colleagues and drove the Energizer's strong performance in the third quarter. We continue to operate in an uncertain environment with limited clarity on the length of the pandemic, its severity and its economic impact. However, to-date, our team has acted with urgency and purpose to put us in the best possible position based on what we do now. And looking ahead, our long-term strategies remain intact and continue to drive strong top and bottom line performance. During the quarter, organic net sales grew 3.4% reflecting strong battery performance and organic growth in auto care. Our strong battery performance was primarily due to distribution gains in North America, pricing actions and elevated demand for batteries in the U.S. caused by COVID-19. The growth in auto care reflected an improved trend during the quarter as consumers increased vehicle usage and we benefited from favorable weather conditions. Throughout the quarter, colleagues in our manufacturing facilities and distribution centers did a terrific job responding to the increased demand by delivering overall consistently high fill rates, as did our retail operations colleagues who executed our plans in store with excellence. Despite headwinds from both currency and incremental COVID-19 related costs, adjusted earnings per share increased 35% to $0.50 led by the benefits of organic sales growth and continued synergy capture. In addition, we generated strong adjusted free cash flow, further demonstrating the stability of our business. During the quarter, we continued to make progress on our long-term objectives, including executing our integration plans to deliver over $100 million in synergies by the end of calendar year 2021, leveraging the strength of our broad portfolio to gain new and expanded distribution in the U.S. and several international markets, investing in our auto care business to build a robust pipeline of innovation complemented by new impactful creative that strengthens our brands and resonates with consumers and implementing our plan to expand the auto care business in international markets. We expect fiscal 2020 to be our fifth consecutive year of organic growth as a result of new distribution, higher demand for batteries in the U.S. because of COVID-19 and improved pricing. Net sales growth should be in the range of 9% to 10%, including organic growth of 1% to 1.5%. In addition, we expect adjusted earnings per share of $2.45 to $2.55 and adjusted free cash flow in excess of $300 million. As we look to the future, we believe the long-term strategies we shared with you at Investor Day have served us well through the pandemic, and will continue to do so in the new normal that follows. We operate in categories, which are resilient in challenging times and have opportunities for growth, given the changing consumer needs. And we are confident our colleagues will create barricades out of adversity, which will allow Energizer to emerge from the pandemic even stronger. And with that, I'll turn it over to Mark.
Mark LaVigne: Thank you, Alan, and good morning, everyone. We could not be prouder of how our colleagues have managed through the first phase of the pandemic. It has truly been a collective team effort where colleagues around the world responded with urgency, focus and agility and operated with excellence through the worst crisis this team has ever experienced. We have been tested in every way possible and managed to deliver a strong financial performance, while more importantly managing to keep each other safe. Today, our manufacturing facilities are safer, our global supply chain more resilient and our systems and processes more robust. As a result, we are serving our customers at high levels, despite the challenges from the pandemic. We entered the fourth quarter with clear insights into consumer behavior in this new environment as economies have begun to reopen and our categories have withstood the pressures of the past six months. We are monitoring the recent spike in COVID-19 cases, especially in the U.S. and just as we did in the early stages of the pandemic, we will adapt our operations as needed to ensure we continue to deliver for our customers and consumers. Before I dive into the battery category, I want to share how we are going to look at our categories going forward. We are all aware that the retail landscape has been evolving for some time. The pandemic is accelerating changes in both consumers' buying behavior as well as retailers' response. The rapid growth of e-commerce, click and collect and home delivery are all driving to a true omnichannel retail environment. Based on this, going forward, we will be communicating a holistic approach to measure category performance as we believe it provides a more accurate picture. Therefore, our category comments today and going forward will combine brick and mortar, U.S. omnichannel performance from several large retailers and pure play e-commerce in the U.S. Now let's review the battery category. For the 13-week period ending in May, which includes the height of the shelter-in-place orders, battery category value grew 28.4% globally and 37% in the U.S. This sharp spike in demand at the beginning of the pandemic was significant in the U.S. While these trends have moderated since the end of May, they remain well above historical levels. Our ongoing analysis of consumer behavior in the U.S. shows elevated usage of batteries as consumers continue to spend more time at home. Outside of the U.S., it was a starkly different story. Generally, shelter-in-place orders in many international markets were more restrictive and as a result, had a negative impact on the category, especially in unmeasured channels and markets. Let me provide a little more context. In developed markets outside of the U.S., the supermarket channel, which is measured grew rapidly as it was one of the few channels deemed essential while unmeasured channels like Home Center and mom and pop stores were closed. In developing markets such as the Philippines and Malaysia, the shelter-in-place orders came swiftly with little warning and essentially shut down the country. In these markets, the category experienced significant declines as a result of government actions to address COVID-19. In terms of the overall pricing environment, average unit prices increased and promotions declined in the quarter as the focus of retailers was rightly on keeping their stores operational, their shelves stocked and the shopper safe. Turning to our performance during the quarter, our share position globally while down 2.8 points continue to improve sequentially. We expect this trend to accelerate in the fourth quarter as we realize the benefit of the resets executed at several U.S. customers. This includes expanding the availability of our brands in the club channel where we had been underrepresented as well as enhancing visibility with preferred positioning in other channels. In addition, our share performance will soon reflect the lapping of prior year resets at major U.S. retailers. We also anticipate that some of the channel shifting, which occurred in the early days of the pandemic will revert to more normalized patterns. Overall, we generated strong organic growth because of the distribution gains and the increased demand for our products in the U.S. as a result of COVID-19, which was partially offset by the contrasting conditions in our international markets. As we look to the remainder of the calendar year, we are well positioned given the distribution gains in the U.S. and preparations are underway for the upcoming holiday season. This includes adjustments to our A&P investments to account for the changing buying behaviors of consumers, including increased spend on digital. And even though our outlook does not include the impact of hurricanes, we are well positioned to support our customers, as storms arise. Turning now to auto care. Category trends in the U.S. are up significantly compared to last quarter. For the 13-week period ending in May, the category value grew 4.3%. Improving trends in the category were driven by consumers hitting the roads versus flying during the summer vacation season as the U.S. economy reopened, a focus on do-it-yourself activities in light of the closure or reduced services from car care businesses, which were deemed non-essential, an overall focus on cleaning and disinfecting cars as a result of the pandemic and the return of warm weather, which enabled consumers to attend to the maintenance and cleaning of their vehicles and which drove improved demand for refrigerants. During the quarter, our share declined 1.2 points as segments like waxes, polishes and vehicle wash drove the growth and are areas where Energizer under indexes. In the quarter, we saw strong demand for our appearance products, especially Armor All wipes. Our innovation is working as well, as we have five of the Top 10 new items, including several new Armor All products, with Armor All Extreme Protectant, Armor All Snow Foam Wash and Armor All Wheel & Tire cleaner. Additionally, we executed new distribution in the U.S., Europe and Australia, expanding into new channels and customers. We are cautiously optimistic about the final months of the summer selling season, as these favorable trends have continued thus far in our fourth quarter. However, the increase in cases in the U.S. could dampen the growth if more restrictive shelter-in-place orders are reinstated. Longer-term, we remain optimistic about the category fundamentals as consumers shift to do-it-yourself from do-it-for-me, keep their vehicles longer and increase miles driven. There is also a potential benefit from consumers focusing more on cleaning their cars. We are investing heavily in our brands with new creative and innovation and a focused effort to reshape the pipeline and reinvigorate the brands. We have begun to execute our international expansion plans, which will generate nice growth over the next several years. The combination of investment and brands, products and geographic expansion is the right strategy to sustainably grow the auto care business over the long term. Now turning to our integration efforts. Despite the pandemic, our colleagues continue to do a remarkable job executing our integration plans with minimal customer disruption by creatively leveraging technology and by being laser focused on the task at hand. Several initiatives have recently been completed, while others are underway including the consolidation of our auto manufacturing into the Dayton, Ohio facility and shipment of all auto care products from a new distribution center, the opening of a new battery and lights distribution facility and the continued migration of the acquired Battery and Auto Care businesses onto Energizer's SAP platform, which will be completed by the end of the calendar year. We delivered $15 million of synergy savings in the quarter and we remain on track to achieve the previously disclosed incremental synergies of $45 million to $50 million this year. We are excited about our progress and anticipate that by the end of the calendar year, our integration initiatives will be substantially complete and keep us on track to deliver more than $100 million of synergies by the end of 2021. We expect to reinvest synergies above this amount to support our leading brands and to accelerate the multiyear innovation portfolio in auto care. In summary, our focus and agility over the last seven months got us to where we are today and will carry us forward. We moved quickly to adapt to an evolving operating environment by ensuring our A&P investments, mirror changing consumer behavior, so we meet consumers where they are and to be the brands they seek, see and select regardless of the channel, increasing the resiliency of our global product supply chain to limit disruptions and maintaining best-in-class service to our customers. We are well positioned to continue operating with excellence by meeting the needs of our customers and consumers, while also advancing our long-term strategies. We have withstood the early days of the pandemic and we are committed to emerging from this crisis even stronger than when it began. Let me now turn it over to Tim to review the quarter.
Tim Gorman: Thanks Mark, and good morning everyone. We reported a strong third quarter performance with adjusted earnings per share of $0.50, up 35%, and adjusted EBITDA of $135 million, up 6%. These results reflected exceptional execution in the quarter as well as the benefit of higher-than-expected battery demand due to COVID-19, improving trends in auto care sales and the delivery of planned synergy savings. These results were tempered by incremental costs related to COVID-19 and the unfavorable impact of currencies, which combined were approximately $0.19 per share. I'll cover a few highlights on the quarter and our outlook. We have also posted more detailed slides on our website. Net sales in the quarter increased 1.7% to $658 million. Organic net sales were up 3.4% driven by distribution gains, strong demand for batteries and auto care in the U.S. and pricing, which was offset by softness in international markets due to the pandemic. Organic net sales in the Americas grew 7%, while the international segment declined 6%. The international decline reflects the impact of the lockdowns on unmeasured channels, including developing distributor markets and DIY and modern markets. As those markets and channels began to reopen later in the quarter, we did see a quick recovery in sales. Adjusted gross margin rate in the third quarter increased 80 basis points to 40.8%. The increase was primarily driven by synergies, favorable raw material costs and pricing. These benefits were partially offset by foreign currency headwinds and incremental operating costs related to COVID-19, which when combined negatively impacted gross margins by $18 million or 210 basis points. The incremental COVID costs were primarily comprised of air freight, personal protection equipment and unfavorable absorption. SG&A, excluding acquisition and integration costs declined approximately $6 million to 16.2% of net sales, down 120 basis points, with synergies being the main driver as we exited a majority of the transition service agreements with Spectrum and incurred lower T&E due to travel restrictions. Turning to adjusted free cash flow, we generated $136 million in the quarter and approximately $244 million year-to-date. The free cash flow generated this quarter was up $100 million versus the same quarter last year. As we mentioned on the second quarter call, we took several steps in April to improve our liquidity position due to the uncertainty in the early stages of the pandemic. Due to the strength of our business performance, we have been fortunate to minimize the use of our increased liquidity thus far and ended the quarter with about $600 million in cash on hand. About 60% of the cash was held in the U.S. We also took advantage of the low interest rate environment and issued $600 million of senior notes at 4.75% due in 2028. The proceeds were used to tender and redeem the $600 million and 5.50% senior notes due in 2025 reducing annual cash interest by approximately $4.5 million and extending the maturity by three years. At the end of the calendar year, we will re-evaluate whether to use the excess cash on hand in the U.S. to accelerate the pay down of debt based on our view of the pandemic. At this point in the fiscal year, we have more clarity over the near term and, as Alan mentioned, we are providing a full-year 2020 outlook. We expect net sales growth of 9% to 10% including organic growth of 1% to 1.5%; adjusted earnings per share in the range of $2.45 to $2.55; adjusted EBITDA between $575 million to $585 million and finally we expect our adjusted free cash flow to exceed $300 million. This is below the outlook provided in February, primarily due to four factors. Incremental cost of products sold due to COVID-19 of about $15 million to $18 million, reduced SG&A reflecting decreased T&E due to travel restrictions of $7 million to $8 million, increased interest expense related to incremental liquidity of approximately $9 million to $10 million and a larger impact from unfavorable currencies of about $14 million. The net combined impact of these factors caused about a $0.35 to $0.40 per share decrease, which is included in our current outlook. This represents our current view of the full year with three-quarters of the year now complete and insights into the start of the fourth quarter. However, there remains a high level of uncertainty because of the pandemic and its impact on the retail landscape and our global business. Over the long term, we remain committed to a balanced approach to capital allocation, including an emphasis on paying down debt. We will continue to execute against the things that are within our control including the integration and optimization of the acquired businesses. Our team has demonstrated the ability to operate with excellence during these challenging times created by the pandemic. We remain on track to achieve long-term financial objectives we laid out at our Investor Day, which includes more than $700 million of EBITDA and $400 million of free cash flow. Now, I would like to turn the call back over to Alan for closing remarks.
Alan Hoskins: Thanks Tim. While the future is uncertain dynamic, we are confident in our team's ability and agility to navigate successfully into the future; ensuring the health and safety of our colleagues and meeting the needs of our customers and consumers remains our top priority. As we enter the fourth quarter, we have line of sight to finishing the year in a strong note and holding liquidity to weather uncertainties that may lie ahead. The long-term fundamentals of our categories remain strong and we are confident in the actions we are taking to achieve our stated long-term objectives and deliver significant value for all stakeholders. With that, I'd like to now turn it over to the operator who will open the line for questions.
Operator: [Operator Instructions] Our first question is from Wendy Nicholson with Citi. Please go ahead.
Wendy Nicholson: I'm still struggling a little bit to get my arms around it. I'm kind of working through the numbers here, sort of the guidance for the fourth quarter, obviously, coming in below what folks are expecting. And I guess I understand the incremental cost for PP&E, but they just strike me as big numbers on -. And so I guess first of all on the foreign exchange headwind, are you planning on taking any pricing to offset that headwind or is that just a hit to the P&L that we have to deal with? Number two, the incremental interest expense for the incremental liquidity, that's a big number. Do you think you need all that liquidity? Does it make sense to have taken on all that debt or with your cash flow do you intend to pay that down? And then I guess last question is just, again, with regard to the guidance, you talked about how there's incremental demand for products now, but at the same time your organic sales growth guidance is still the same as it was at the beginning of the fiscal year. So I guess the question is, do you think there is excess inventory sitting in people's pantries or why isn't that incremental demand leading to a bump up, if you will, in your organic sales growth target? I know that's a lot. So anything you can give me on a couple of points would be great.
Mark LaVigne: Yes. So, Wendy, I think maybe starting at the top line and then working our way down. Yes, as market indicated, we continue to see good demand in the start of the fourth quarter with respect to that demand that is driving some incremental cost. So a big component of the incremental COVID costs are air freight. So we're air-freighting product because of the accelerated demand that we're seeing particularly in batteries in the U.S., getting the product to where we need it. We don't see that as a permanent cost but temporarily in the pandemic we're doing what we need to do to maintain business continuity. FX, in terms of taking pricing you tend to do that where you have a more dramatic impact of currencies. More recently, we have seen a change in the currency trajectory with the dollar weakening. So there may be some potential upside as we go through Q4. We have made, and is reflected in our Q4 guidance, increased investment in A&P that we've talked about and then we are seeing the benefits of reduced travel on SG&A and that likewise as reflected in the guidance. With respect to the interest, we made a call to increase our liquidity as we entered into the pandemic. There still remains some uncertainty. So as I indicated in prepared remarks, we're going to evaluate that at the end of the calendar year. I view that as a cost to have that liquidity until we're certain that we don't need it. So thus far in the third quarter, we were able to maintain the level of cash that we had during the quarter. So we were roughly $600 million when we increased liquidity. We've maintained that through the end of the quarter. That's a judgment call that we've made and understand as we manage through the pandemic, there's lot of moving parts and so that's what's reflected in the guidance that we've provided.
Wendy Nicholson: And that cost, the incremental, I mean, I assume as things get back to normal from a supply chain perspective, you won't have the air freight costs..
Mark LaVigne: Yes.
Wendy Nicholson: But as we look out to fiscal '21, I also assume that savings in T&E is going to come back, people are going to probably start traveling again. But do you have a sense, just as we look out to '21, on what's sort of the permanent step-up in COVID-related costs. I assume higher PP&E and it's going to be with us for some time to come. Do you have a sense for kind of what we should think about for the model for '21? Thanks.
Alan Hoskins: Yes. Wendy, with respect to '21, we're evaluating that right now. I would make a call in terms of what component of that is permanent. I would expect a significant majority of it is not going to be permanent. You're right. The increase in airfreight should diminish. The PP&E, there will be a component of that that likely will continue beyond and with respect to the interest, when we make the call at the end of the calendar quarter, if we do pay down debt that will go away beginning in the second quarter. So with respect to the COVID cost, we had a smaller number in Q2. We called out roughly $1 million this quarter and I'm talking about that's embedded within COGS, it's roughly $9 million in the third quarter and we called out roughly $5 million to $8 million in Q4. And then interest cost roughly $4.5 million a quarter for as long as we keep that increased liquidity.
Operator: The next question is from Bill Chappell with Truist Securities. Please go ahead.
Bill Chappell: I guess one kind of follow-up to Wendy's questions. Any kind of thought process on what the FX headwind would be for '21 at current rates?
Tim Gorman: Bill, at this point without having a holistic '21 outlook, I'm just going to kind of stay away from questions on '21 other than I can call out commodities, we're fully locked for this year, we're approximately 60% locked on commodities for next year.
Bill Chappell: And then just switching to kind of get your commentary about market share and some of the recent gains, have you seen - I think we're about to lap the target switch from Eveready to private label, which was about a year ago, didn't know if you've seen any other moves there or actually maybe some increased interest on the Rayovac brand as we're continuing the recession over the next few months? Just kind of thought process from your customers in terms of what they're looking for or if you haven't seen any trade down at all, if they really kind of focus more on the higher end brands?
Mark LaVigne: Bill, I think in terms of the lapping of some of the shares losses that we referenced in the script, between the competitive launch as well as the private label launch that you mentioned, we're roughly right around this time. So we're anniversarying that basically now and then we, obviously, have all of the new distribution. So from a share standpoint, I think you are certainly going to see that accelerate as we get through Q4 and certainly into Q1. So that will be a tailwind for us that I know people have been looking for quite a while. We do continue to leverage Rayovac, again, heading into this economic uncertainty. It is a weapon that we have that we didn't have before in terms of our discussions with customers. And so we are able to leverage that where there is an interest on making sure that if their shoppers are interested in more value brands that we're there as well. That can be either in lieu of private label or in addition to private label and it really depends on a retailers preference on how they want to go about orchestrating the battery category, but it obviously puts us in a great position to really serve whatever needs that they may have. In times like these, you really do see consumers migrate the brands that they trust and trusted brands is something you'll hear from a lot of CPG companies these days. And fortunately, we have a whole host of them with Energizer Eveready and Rayovac that allow us to meet a lot of different needs for different retailers. So we are seeing interest but, obviously, Energizer continues to be our flagship and will continue to be so in the future.
Bill Chappell: And I guess with most of the share gains you're talking about, it could club elsewhere for core Energizer not necessarily Rayovac?
Mark LaVigne: That's correct.
Operator: The next question is from Dara Mohsenian with Morgan Stanley. Please go ahead.
Dara Mohsenian: So, can you discuss the impact of the EBITDA shortfall this year versus your original guidance has on your longer-term target for EBITDA in excess of $700 million in fiscal '22? Obviously, we discussed that some of the pressure is currently more temporary with COVID cost, but some of it appears to be more ongoing. So just wanted to understand the impact on your longer-term targets?
Mark LaVigne: Yes. Tim, let me take a longer term and then maybe you can chime in a little on the EBITDA. So, Dara, we remain on track to achieve the long-term financial objectives that we laid out in Investor Day. I think the way to think about it is, near term we're just continuing to execute against the things that are in our control. So think about that as integration and the optimization of the acquired businesses and the continued focus on our three core strategies. And then Tim, any other commentary on the EBITDA?
Tim Gorman: Dara, I think relative to some of the big factors in terms of synergies, that remains on track. We're exceeding expectations and investing back into the business. Some of the temporary impacts like the incremental COVID costs, those will eventually go away and the other dynamic that we've seen is in terms of some of the channel market dynamics relative to the current period. So we would expect as we exit this, things would begin to normalize in '21 and so now in '20, we remain on track at this point in terms of the long-term objectives that we laid out.
Dara Mohsenian: Okay, that's helpful. And then any perspective, obviously, there's been a demand pick up in the category in the U.S. battery category. Do you think that is mostly greater actual usage of batteries? Has there been some pantry loading? Just any perspective in terms of if there may be a consumer pantry deload going forward here? Thanks.
Tim Gorman: Dara, I don't think we're overly concerned about a pantry load at this point, just because of the persistence we've seen with the demand for batteries over this pandemic. And we continue to do consumer research and the feedback we get is very convincing that consumers are, in fact, using a lot more batteries than they used to as they're staying home more. And that - we've certainly have seen that play out in the POS trends as we talked about globally, it was up roughly 28% and then in the U.S. some 37%. It is starting to moderate as the shelter-in-place orders are being lifted and people are getting out of their houses more. But even if you just look at the one month data of June, it was roughly up 23% in the U.S. Now that is being offset internationally by the impact of the shutdown orders is very different. And so you are seeing that offset as you look at our consolidated results. But net-net, if you were to tell us that we were going to make our way through the pandemic and grow organically from a battery standpoint at 5.3%. Now those are really strong results. Obviously, within the U.S. the results were stronger and those were offset by some of the negative trends in international, but we feel it was a really strong quarter for batteries. We do see the trends continuing. They will moderate as you get through the pandemic and people resume more normalized activities but for now, battery business is strong and consumers are using a lot of batteries.
Operator: The next question is from Kevin Grundy with Jefferies. Please go ahead.
Kevin Grundy: Tim, I wanted to come back to the guidance if I could, and specifically I'm looking to bridge from where you guys were in February in terms of how you saw the world and how you see it now? So at the time, the EPS 2.45 to 2.55 - excuse me, [technical difficulty] 3.20 times were down $0.60 at the midpoint and then round numbers, COVID costs are $0.20 more [technical difficulty] does that still leaves like $0.25 gap. And I appreciate any color in terms of trying to quantify COVID? But I just want to make sure I'm understanding the big changes here, could the top line maybe not coming in as you thought at least geographically or even from a category perspective, but in total relatively healthy. So help me bridge that gap if you could. The $0.25 more dire whether mix supply chain costs, other areas of investment outside of COVID and dire effect?
Tim Gorman: Yes. So, Kevin, those are roughly in line kind of break it down, the $0.25. We made a conscious decision to increase our A&P investments. So that's roughly $0.06 of the $0.25 with a heavy focus on investment in digital given the shift in dynamics that are occurring. There's another $0.06 that is tied into taxes and the mix of earnings that we have with the shifts that are taking place. The balance is an impact on margin. And again, we are seeing the dynamics of channel and market shifts that are occurring during COVID that are having a negative impact as well as some of the cost associated with -  While category trends are strong, market called out 5.3% in battery in the quarter and 2.4% in auto care. Again for auto care and international, there was an impact of COVID on the expectations that we had, that we set back in the February, particularly with auto care, again, we were lapping this up. Our performance last year - and while 2.4% growth is good in the quarter, we had expectations for higher. So that's the balance that makes up the differential, the $0.25 is roughly $0.12 in margin, COVID impact on the top line and margin and then some of the COVID impacts on channel and market dynamics.
Kevin Grundy: And a question for Alan and Mark just on auto care. You had been targeting earlier in the year 3% to 5% and then the pandemic hit, where is that target now? I understand you seeing some sequential improvement, I think, Mark you talked about you're hopeful here in terms of picking up some shelf space here with some of the resets. Where do you expect to finish now relative to the 3% to 5% and it does sound like your longer-term view with respect to the business has been dampened [technical difficulty] but maybe some comments on sort of the longer term for the business, and I'll pass it on. Thanks.
Mark LaVigne: Thanks, Kevin. You were breaking up a little bit, but I think I caught most of it in terms of just auto care growth and how does it look. Obviously, with the international business being what it's been and having the struggles to operate through the crisis for us to be able to have organic growth of 2.4% despite that, is really encouraging from auto care. We are seeing real strength in the U.S. in the auto care category and as you look at that category, as we worked through the last quarter, in March, you had aggregated for the sub categories we operate in, it was down roughly 4.7%. In April, it was down 1.7% and then in May, it was up 18%. And you've really seen those trends continue as we work our way through the summer, so very encouraging signs. In fact, when you look at the appearance sub-segment, 50% of the appearance buyers in this past quarter were new to the category. So a lot of new consumers coming into the category, obviously, our goal is to continue to drive growth ahead of the category. We have work to do on that business just to continue to rejuvenate the innovation pipeline as well as continue to spend money behind new creative and more A&P. But all in all, I'm very pleased with the trends we're seeing. We do expect them to continue in the U.S. Weather plays a big part in the refrigerant business as well. And so as the weather plays out over the August and September time period, that will impact results. But again, I don't want to get into '21 guidance for that business, but when I look at category trends, I look at our innovation pipeline, our line reviews that will be set next year, which will drive next year's organic growth, have been favorable and people are really pleased with the way we're bringing innovation and being a category leader like we have been in battery. And the international growth plan continues to go on as well as the integration. So I would say, more to come in November when we talk about the growth in auto care, but still really pleased with this quarter's performance in terms of everything we've had to overcome and really look to accelerate that as we get into '21.
Alan Hoskins: I think you've covered it well, Mark.
Operator: The next question is from Lauren Lieberman with Barclays. Please go ahead.
Lauren Lieberman: So I was actually planning on asking about other just as Kevin did. But I think one follow-up I could throw in would just be, anything you're doing to adjust your marketing plans in the channels in which you'll advertise, what kind of messaging, things like that, given changes in consumer behavior, which to your point should benefit the auto category. But anything more specifically on ways that you can kind of target and actually drive greater usage and adoption to trigger purchasing behaviors to personally more [indiscernible]? Thanks.
Mark LaVigne: Yes, there are two things in that. I mean, one, we are looking at consumer behaviors and how they're changing as a result of this pandemic and making sure we're using that consumer insight to drive our innovation pipeline as well. And then to your point in terms of how consumers are shopping in the category, we are shifting our spend both from an A&P standpoint, but also a trade investment standpoint. You're seeing us do a lot more digital conversion tactics with search and Instacarts and then from a media - for lack of old media and new media kind of shifting between TV and you're getting more into streaming, video and gaming and social media. From a trade investment standpoint, there were some limitations on the type of promotional activities, with certain retailers, we would redeploy those dollars from their in-store activities to an omnichannel investment to make sure we are investing those dollars there to help grow that. I would say just rough order of magnitude from a digital versus traditional, we were maybe at a 60-40 split, now we're probably leaning more towards a 50-50 split. So we continue to shift more and more towards digital as this crisis has evolved, and that's something that we were already well on our way of doing as we entered into that and I would say, the only thing we really do is accelerate that a little bit more as a result of what we were seeing.
Lauren Lieberman: And then just one follow-up on the COVID costs and I apologize if I missed it. You mentioned air freight not just through the PPE type expenses. So I guess the air freight piece, how long should that go on for? I would think that as demand kind of stabilizes to more of a manageable run rate, that a chunk of your COVID cost and even if you're not prepared to say that's the case in the next three months, but beyond that should start to ease. So anything you could offer to break down the mix of those COVID costs just so as we choose to, how will we choose the model, what happens with COVID going forward?
Tim Gorman: Yes. And, again, Lauren, we call out really three categories, so the total that was in COGS is roughly $9 million. About $5 million of that was air freight. So that was with the impacts that COVID had globally plus extremely high demand on battery that was really driving to get the batteries here in the U.S. And to your point, I would not expect that to be a continuing issue. We've included cost in the Q4 outlook and then when we get to '21, we'll assess what our expectations are. PPE was roughly $1 million and then the remainder we called out was absorption, we had some facilities that were shut down temporarily and for us in terms of labor size, so that impacted the absorption levels that we had for the batteries we were selling. So, again, I would not expect in a normal environment that those would continue.
Alan Hoskins: And Lauren, I think on the air freight piece, a couple things to keep in mind. I mean, one is just the after effects of the disruption you've seen globally; from an end-to-end supply chain standpoint, you do see some of our suppliers being disrupted. So you have to play catch-up at different points along the way. And then also the composition of the demand is different than what we expected. So it's in different parts of the world, and as a result we've had to shift some of our inventories from different places than we had planned on that being as we got into the year. So it's multifaceted. And then as we exit the crisis, a lot of those things will normalize as our suppliers can have more normalized operations and also as the demand smoothes out to a more traditional demand model than what we've had. And so it's really two-fold in terms of what's driving it. But to Tim's point, certainly wouldn't expect that to become the norm.
Tim Gorman: Yes. And we really called out the two priorities we had as we were navigating through the pandemic was one, health and safety of colleagues that was first and foremost. But the second one was business continuity and the cost of ensuring business continuity was to incur the air freight because without it, there wouldn't have been a sale. So we understand it's a higher cost, but it's what we needed to do to maintain those high service levels.
Lauren Lieberman: And then on the more constructive side of things, I mean, you mentioned the lower TV expenses, which is obviously, everyone's seeing. But I mean, what are you finding there that you think might be sustainable, like different ways of working and realizing you can do more things remotely and so on? So if we're thinking about air freight and some of these costs mitigating potentially in '21, can we think about some of the good stuff sticking?
Tim Gorman: Lauren, I think that - go ahead, Alan.
Alan Hoskins: Tim, I was going to [technical difficulty] think we are evaluating with the task force all we've done under COVID that are part of continuous improvement that we'll be able to bake into the way we operate going forward quantifying those is still in process, we'll continue to look at those. But I think you're asking a fair question, while there were things like [technical difficulty] that we undertook to ensure continuity and fill rates with our customers, there are positives that are coming out of this as well that we'll continue to deploy and we'll have more on that as we provide guidance for '21. Tim.
Tim Gorman: Yes, I would just add to what Alan said, I think we, like many companies, are evaluating the ways of working post pandemic and certainly the face-to-face commercial travel is a necessity, but I think on the remaining, is there a better way to affect the activities that you need to do without actually having to physically be there. And I think our colleagues like many companies are finding we're able to operate remotely in a highly effective manner. And I would expect there will be a return to normal, but there will also be an evaluation of do you need to do every bit of travel that you were doing before?
Operator: The next question is from Faiza Alwy with Deutsche Bank. Please go ahead.
Faiza Alwy: So, Mark, I think you had mentioned that you've done - you've been doing some consumer research around battery usage. So, I was hoping you could elaborate a little bit on what you're Seeing with respect to consumer research? And what's driving the elevated sort of usage of batteries, particularly in the U.S.? And why it's higher in the U.S. versus in other markets?
Mark LaVigne: Faiza, It's consistent with what we talked about on the last call, I mean, let's talk U.S. first. We have a lot more - consumers are at home a lot more, they're engaging with their devices more, whether it's gaming controllers, home electronic equipment to be functional from an office standpoint, there's just a lot more usage of those devices ARE getting used more and as a result, the demand in the U.S. has seen [technical difficulty]. It's a little bit different in international markets, I mean, and it's different market to market. I mean, some of it is the level of shutdown that's been required. It's the number of devices per household that you'll see in some of those international markets. It's also consumer shopping behaviors, do they buy in larger quantities in the U.S. like they do in some of the international markets. But really, if you look at developed international markets, the trends are similar to what you'd see in the U.S. They're just not as elevated as you would see in developed being and then sort of our distributor market subset, it's really that's where in the script we said it was a starkly different story and that's really the best way to describe it. You just - the shutdowns were more severe, the retail shops were not open nearly as pervasively and businesses were deemed much more essential in a tighter way than they were in the U.S. So the availability of product just isn't there as well. And as a result, consumers just shut down a lot more than they did and the disposable income in many of those markets is not what they are in developed markets as well.
Faiza Alwy: Okay. And then just a follow-up on auto care. I think you had mentioned that there was some relative to your prior guidance on auto care, there is a bit of a shortfall and it seems to be primarily in international markets. So I just want to - if you could just expand on what's driving that? Again, is it just the retailer environment that you just talked about? And I wonder if you think you've had lost sales in refrigerants just given the seasonality in that business?
Mark LaVigne: So in the international markets, I think you've captured - I mean, that's really where the shortfall has occurred. When we were talking back in January, February about 3.5%, that was based on a normalized international selling season. And certainly that was disrupted, many of the retailers that would carry these products in the international markets were shut down. And so as a result that was just - those were just lost sales. And so there was a disruption on the internationals. Certainly, the U.S. has seen some strong trend. March was tough, and then it really did start to pick up from there. And those have offset some of the international sales. From refrigerants, we don't get that specific in terms of the numbers, but it's been a strong season for refrigerants, particularly when you factor in that it got off to a rough start both with the number of miles driven and people were just not in their cars nearly as much in March and April. Weather didn't cooperate in the March/April time frame, but really between May and June, certainly with some of the heat that you saw in the U.S., you saw pretty dramatic refrigerant trends. So I would say from a refrigerant standpoint, that business hung in there quite nicely and rebounded a little bit from what you saw last year.
Alan Hoskins: And I think with respect to what Mark was talking about with the international markets, the one positive as we got towards the end of the quarter, as things did open back up you did see a recovery in the sales. So that's a positive sign that we took out of the quarter.
Operator: The next question is from Rob Ottenstein with Evercore ISI. Please go ahead.
Rob Ottenstein: I'm a little bit confused on the guidance. When I stand back and listen to what you're saying, I'm hearing very strong momentum in auto. You just mentioned that international on the battery side is improving. In the U.S. battery, you're getting pricing, demand is up and you believe that's sticky. You're going to get further distribution gains. Your A&P is going up soon. Presumably, that's going to help. You're not worried about pantry deloading. So I'm just a little bit confused why the guidance in terms of organic top line growth seems so muted?
Tim Gorman: Well, if we look at where we're at, year-to-date organic growth is up 1%. I would recall last year in the fourth quarter, we had a 9% organic growth rate and if you take the 1% to 1.5% for the full year, that's slightly north of 2% organic growth in the fourth quarter. So a strong performance year-over-year in the fourth quarter. I think holding through the pandemic to achieve the 1% to 1.5% organic growth in the full year is a strong performance. The one thing we don't have and we're lapping hurricane volume from last year as well that we don't have in the current outlook. Obviously, there's been a recent storm that has moved up the East Coast, but that storm has been fairly minimal in terms of volume associated with it because of how quickly that storm moved out. There are power outages now, so we will continue to monitor that. But we don't have hurricane activity in there. So that may be kind of offsetting when you do the quarter-over-quarter comp.
Mark LaVigne: And I think part of it is the level of uncertainty we're just dealing with from a macro picture. I mean, we're seeing, obviously, increase in cases in the U.S., you're seeing international markets, some of them doing well, some of them not doing as well. It's really just the uncertainty of what it's going to look like, you have government stimulus that may or may not be in play. You had the economic effects that consumers are feeling. So I would say, we want to be prudently cautious about the guidance that we put out there for the fiscal year, given we just don't have the operating environment changes so dramatically. And if you look at March and April, for example, we certainly are bullish on what we're seeing on the auto care category right now. But if we have to go into a severe lock-down, we've seen what that can do to the category trends as a result of that. So I would say it's - with all the factors that we're aware of, we think it's the right call to make. Certainly, if the trends that we're talking about continue, then we may be able to exceed those numbers. But we certainly want to be cautious about how much we're trying to predict the future in an increasingly uncertain environment.
Rob Ottenstein: I think you mentioned a little bit about what happened globally in terms of market share for batteries. Can you drill down on the U.S. and maybe perhaps separate between online and offline in terms of market share?
Mark LaVigne: I think as we talked about in the prepared remarks, we do want to continue to look at this holistically within the category. You are going to see positive trends in our share continue over the next several reporting periods, just because of some of the distribution gains which are now visible in store. I would say there is still distribution gains to be had over the balance of the year. Those are in process as well. Many of those are in unmeasured and a little bit in measured, but from a measured standpoint, you're going to continue to see that consistently and I'm going to speak in more general terms from an online/offline. We continue to be the branded share leader online, you are seeing many retailers emphasize their omnichannel offerings in their platforms and we're leaning in with them as well. If you look at that sort of digital space broadly within batteries here in the 20% to 25% range of what went through digital, I would say Amazon is in the neighborhood of 15% of that, not 50% of that, 15% with the total omnichannel being 20% to 25%. We're not as strong from a share position online as we are offline, but, obviously, we've redoubled our efforts to make sure that we continue to make sure that those share positions mirror each other, but even within a given retailer, if you go retailer to retailer, our share positions are different retailer to retailer, but rest assured we're pushing to maximize our share in the right way both online and offline retailer by retailer.
Operator: The next question is from Olivia Tong with Bank of America. Please go ahead.
Olivia Tong: Just a couple of follow up questions there. First, in terms of the distribution wins you know are coming, can you talk about how much of a share gain you think that that should bring to? And then just in terms of some of the e-commerce efforts that you're making, you're talking a lot about digital marketing. So can you talk a little bit about what you're specifically doing in e-commerce to continue to drive your presence and drive your share a little bit further up closer to your brick and mortar share? Thank you.
Tim Gorman: Olivia, I think one thing I want to make sure we emphasize is, it's always dangerous to have an over-emphasis on share just because I think that can drive bad behavior as you're trying to run your business. So we don't go after things for shares sake. We make sure we drive good permanent profitable distribution, which is what we've done over the balance over this fiscal year. You are seeing a lot of resets going in measured retailers right now that have been completed. And as a result, you will see share trends. I'm not going to predict what the share will be in the future. I think that's just going to play itself out in the numbers and also as channel shifting either moderates or accelerates depending upon what's going on in the pandemic. So that's - it's a bit of a shifting landscape. But I feel comfortable in saying that the share numbers are going to continue to be positive as you get through this fiscal and calendar year and will likely accelerate as you move through it. Our efforts on e-commerce are no different than what we've been doing, it's a focus on content, it's a focus on search, it's making sure we're connecting with consumers digitally, it's making sure that we're executing those conversion activities to make sure that we're driving purchase as consumers are searching for batteries online. Lot of tactical stuff, but it's also continuing to invest in the brands, continuing to invest in the products. It's not any different than what we've done. It's probably just more of it and it's obviously worked for us in the past. It's working for us on auto care as well where you're seeing our growth rates, particularly, in the appearance subcategory are really almost triple of what you would see the growth rates for the category. And so we're making sure that our digital team is emphasizing not just batteries but also auto care and lights as well and we're seeing tremendous growth numbers across all three businesses online.
Operator: The next question is from Andrea Teixeira with JPMorgan. Please go ahead.
Andrea Teixeira: So my question is on A&P. Yes. So if you can double click on the $0.06 higher than previous guidance. So you called out digital, but how much would you say you need to catch up on promo you discussed earlier in particular, against the 9% comp in the fourth quarter last year? And do you expect some promo investment in Rayovac to better position it against private label to help the consumer during the recession and either EDLP? As a follow-up also on the exit rates, you talked on the growth in June being below the performance in May. Could you speak to how trends have continued to progress since June? And then just anything to point out in terms of markets where the reopening has gone the other direction? So did you see similar uptick in consumption or is more a normalized behavior in your view?
Mark LaVigne: I think the way to think - there's a lot of questions in there, Andrea, I think A&P spend, we've consistently said between 5% and 6%. It's consistent with the way we're guiding for this fiscal year and will land within that. We, obviously, have to adjust as we go through the year on how we allocate those funds and invest and make sure that the appropriate return is there. But we have seen an opportunity to invest behind auto care, particularly when you're seeing some of those category trends. I don't want to talk about future promotional activities on any of our brands, but I think from again A&P, 5% and 6% Rayovac, it's a key part of our - of the category of our portfolio. We're going to make sure we invest. You do tend to see that to be a little more tactical investment as opposed to sort of campaign investment on A&P. In terms of the trends that we've seen in the battery category, they continue to be strong. I mean, again, these are going to be U.S. numbers as much as we've cautioned people that there is different dynamics in international. It was up 37% we said in the prepared remarks. If you look at the one month in June, it was 23%. So still a strong growth, moderating from where it was. International markets, really depends on the market you're in. You are seeing bounce back rather quickly as consumers get out and in the stores. But you also are seeing some resurgence in some of the shelter-in-place orders. I mean, just yesterday Manila put out of a fairly restrictive shelter-in-place order. We have cities like Melbourne in Australia that are putting out some shelter-in-place orders. So it just changes rather rapidly. We have leaders around the globe who are responding to that and making sure. But certainly as consumers internationally are able to get out into stores, we would expect to see normalized demand levels. I think the question in each market will be when that will be and then how long will that last. But we feel very confident in our international plans. We just need the restrictions to allow people to get out and shop.
Operator: The next question is from William Reuter with Bank of America. Please go ahead.
William Reuter: So if we think about the deleveraging path where you guys are on, we're a little bit behind where I think we thought we'd be a couple of years ago, not that anyone can plan for COVID. But leverage does remain a little bit elevated. Are you at the point where you would consider M&A opportunities given the strong free cash flow of the business or do we want to reduce leverage from here before you'd really think about taking on such opportunities?
Alan Hoskins: I think it is a good strategy. And I was going to say just two real quick answers and then have Tim build on it. So the short answer is, obviously, longer term, we remain committed to a balanced approach to capital allocation and we're going to continue to primarily focus on paying down debt. In terms of M&A, the short answer would be, we will continue to look at opportunities but there'll be bolt-ons in battery or auto. And then Tim, any bolt-outs?
Tim Gorman: No. That's all.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Alan Hoskins for any closing remarks.
Alan Hoskins: I just want to say thank you for joining us on the call today and we appreciate your interest in Energizer. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.